Operator: Good afternoon ladies and gentlemen thank you for standing by. Welcome to today’s Oxford Industries third quarter 2008 earnings conference call. At this time all participants are in a listen only mode. Following the presentation we will conduct a question and answer session. Instructions will be provided at that time for you to queue up for questions. As a reminder, today’s conference is being record. Now, I would like to turn the conference over to Ms. Anne Shoemaker, Treasure. Please go ahead ma’am.
Anne Shoemaker: Good afternoon everyone. Thank you for joining us today. Before we get started I would like to point out that some of the statements made on this call as part of the prepared remarks or in response to your questions which are not historical fact may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results might differ materially from those projected in such statements due to a number of risks and uncertainties which are described in the company’s annual report on Form 10K filed with the Securities & Exchange Commission on July 31, 2007 and in our subsequent filings with the Securities & Exchange Commission. A copy of this report is available online or upon request from Oxford’s investor relations department. Oxford disclaims any duty to update any forward-looking statements. Now, I’d like to introduce today’s call participants. With me today are Hicks Lanier, Chairman & CEO, Terry Pillow and Doug Wood from our Tommy Bahama group, Tom Chubb, Executive Vice President and Scott Grassmyer, CFO. Thank you for your attention and now I’d like to turn the call over to Hicks Lanier.
J. Hicks Lanier : Good afternoon and thank you for joining us to discuss the stub period results we just announced. I’m very pleased to have Terry Pillow on the call with us this afternoon. Terry joined the company just two weeks ago and will become the new CEO on the Tommy Bahama Group on June 1st. The period we’re reporting is the two months stub period in the eight month transition period that enables us to readjust our fiscal year end to be more in line with our peer group. In general, as you know business throughout our transition period has been very challenging. While all our results have been largely influenced by the market environment we are by no means complacent about the trends in the business and we are working hard to adjust our tactics and day-to-day business practices to respond. We’re not satisfied with the results and believe that we can improve even if the environment does not. The two month period we’re reporting was in line with our recent expectations. Consolidated net sales for the two months ended February 2, 2008 were approximately flat to the same period last year at $163 million. Earnings during this period where down versus last year coming in at $0.03 versus $0.16 in the two month period ended February 2, 2007. I think it makes sense given the short reporting window for us to step back to look at the highlights of the full eight month transitional period. For the eight month transition period ended February 2, 2008 consolidated net sales were $696 million compared to $739 in the prior year’s eight month period. Operating income for the eight month period was $41 million compared to $56.2 million in the prior year’s eight month period. Diluted net earnings from continuing operations per common share for the eight month transition period were $1.11 compared to $1.47 in the prior year’s eight month period. Diluted net earnings per common share for the eight month transition period included an additional $0.08 due to a one-time favorable tax adjustment to the previously reported first quarter results. These results are indicative of the environment in which we are operating. However, we believe that we have powerful brands which will prove to be enduring global businesses and we are directing our efforts to cement that opportunity and translate it into value for our shareholders regardless of the current markets and business. I’ll reserve some additional comments for closing but thank you for your attention. I’m delighted now to introduce you to Terry Pillow. As I mentioned earlier Terry will assume the CEO role at Tommy Bahama on June the 1st. His experience with luxury brands coupled with his thorough knowledge of the product development to market process and his prior roles in executive leadership make him a perfect fit for us. We couldn’t be more pleased to have Terry on board.
Terry R. Pillow : I’ll keep my comments brief as I have only joined very recently. I just wanted to introduce myself to everyone on the call today. I’m looking forward to meeting many of you soon. I’m very excited to be joining Oxford and for the opportunity we have with Tommy Bahama. Great brands are rare in the apparel business. I spent my entire career managing some of the best apparel luxury brands and I’m excited to now be able to help direct the growth of one of the best of them. I look forward to getting into the specifics of the plans we’re developing on a future call. I’ll just say thanks to Hicks and the rest of the Oxford team for this opportunity and their support. Doug Wood will walk you through the details of the last eight months. Doug was recently promoted to president and chief operating officer of Tommy Bahama. He has been with Tommy Bahama for over seven years with responsibilities for all our financial and operations functions. I am proud to join and organization with such strong leadership.
Doug Wood : Good afternoon. For the eight month transition period Tommy Bahama reported net sales of $285 million, slightly lower than the $287 million in the same period of the prior year. Operating income was down for the period coming in at $38 million versus $43.7 million in the prior year’s eight months. This was driven by some reduction in productivity in our retail operations particularly in Florida, California, Nevada and Arizona as well as in wholesale where most of our customers experienced difficulty and pull back on their inventory levels. With a position as an affordable luxury brand and as a significant presence in vacation oriented location, the current environment has affected our business. As a result some [inaudible] we have seen a bit of expense leveraging particularly in the retail stores. We will continue to monitor the economic environment and will manage inventory levels and expenses as conditions warrant. We believe that the Tommy Bahama brand is essentially very strong in all channels of distribution and we have made the decision to continue to enhance and expand our marketing efforts. Our national spring advertising campaign is well underway. We hope you have seen the remarkable shots from Santorini Greece which were well placed in magazines such as Harpers, CQ, Esquire and travel and leisure. This successful campaign has also garnered us additional editorial pages in prominent fashion magazines. The spring campaign represents the most expansive advertising initiative ever in our company. We continue to expand our offerings on our ecommerce site with recent additions including women’s swim, big and tall and golf. We are delighted with our ecommerce result as a whole and as we continue to develop our website we are pleased with the wealth of data our customers are communication with us about their preferences. I would encourage you to visit our site at www.TommyBahama.com and enjoy the imagery from the Santorini photo shoot and take a look at the newest product offerings. Now, I’ll turn the call over to Tom Chubb for details on our other three operating groups and [inaudible] figures for the eight months transitional period.
Thomas C. Chubb, III : Good afternoon everyone and thank you for joining us. I’ll start with Ben Sherman; our strategy to position Ben Sherman as a premium lifestyle brand in all markets around the globe continues to progress as planned. Net sales were $102 million in the eight month period compared to $100 million last year and we saw approximately flat operating income at $4 million. While these numbers are not on the surface very exciting what they don’t show is that we performed very well in our international businesses and our owned retail stores. While we continued to purposes shrink the size of the UK business as we focus on placing the brand in better tiers of distribution in that market. In the US we are making solid progress with strong sell throughs both in our owned retail stores and our wholesale accounts not withstanding a very tough market. Our international initiative also continues to gain momentum and as of the end of the transition period we have 13 licensed retail stores around the world with another 12 planned for fiscal 2008. We have continued to reinforce our global infrastructure with the recent addition of a new group retail director Andrew Horton. Andrew brings to the table an impressive background in managing global retail operations for contemporary brands. While the challenges Ben Sherman faces in executing our strategy are considerable we are doing what needs to be done to ensure the success of the brand in the future. We have revitalized the brand, raised the average price point and moved the distribution into better tiers. This is certainly indicative of a brand that has a great heritage and that is capable of significant growth. Moderate tailored clothing is perhaps the toughest part of the market right now and we are feeling it in Lanier Clothes. Sales for the eight months were down about 4% to $108 million from $112 million in the comparable year ago period with operating income of $300,000 compared to operating income of $4.7 million in the same period of the prior year. We continue to monitor inventory levels in Lanier Clothes and made significant progress in reducing inventories during the eight month transition period. Oxford Apparel fared much better as we exited a number of difficult business lines and made significant reductions in expenses. Sales for the eight month period reflect this strategy and brought the $201 million compared to $240 million in the comparable year ago period. Operating income was $12 million versus $14.1 million in the same period of the prior year. Keeping in mind too that in the transition period there was a charge against operating income of $1.3 million to close our last manufacturing facility associated with this business. We’re very pleased with the progress we have made in improving this business especially considering the market environment. The corporate and other expenses increased to $13.5 million in the eight month transition period compared to $10.4 million in the prior year. The increase was due primarily to the impact of LIFO accounting adjustments for discontinuation of transition service fees received following the disposition of the company’s women’s ware business and the closure of our internal trucking operation partially offset by reduced incentive compensation expense. I’ll now move on to the consolidated results for the income statement, balance sheet and cash flow statement for the eight month transition period. As Hicks mentioned earlier for the eight month transition period ended February 2, 2008 consolidated net sales were $696 million compared to $739 million in the prior year’s eight month period. Consolidated gross margins for the eight month transition period increased to 39.6% compared to 38.6% in the prior year’s eight month period. The improvement in gross margins was driven primarily by a higher proportion of Tommy Bahama and Ben Sherman sales which generally have higher margins than Lanier Clothes and Oxford Apparel. Selling, general and administrative expenses for the eight month transition period increased to $244 million or 35.1% of net sales compared to $235 million or 31.8% of net sales in the prior year’s eight month period. The increase in dollars comes primarily from growth in store count partially offset by the rationalization of expenses in the Oxford Apparel segment and reduced incentive compensation. The increase in SG&A as a percentage of sales is a result of the increased proportion of retail to wholesale in the company’s total sales mix and the productivity drop in our owned retail stores. Intangible asset amortization expense declined to $3.2 million in the eight month transition period compared to $4.2 million in the prior year’s eight month period. These non-cash charges reduced our earnings by approximately $0.12 per common share in the eight month transition period. I think it’s important to consider and remember the strength of our brands and the additional opportunity they afford us to generate revenue through licensing. Loyalty and other income rose to $12.5 million from $9.6 million in the same prior year period. Tommy Bahama and Ben Sherman continue to have great opportunities to leverage their market position in both existing and new categories. Our effective tax rate was 25.2% in the eight month transition period ended February 2, 2008 and 36.3% in the same period last year. The decrease in our effective tax rate was a result of the impact on our deferred tax balances as a result of the changes of the enacted tax rate in the United Kingdom, the change in our assertion regarding our initial investment in a foreign subsidiary during the fourth quarter of fiscal 2007 and the impact of the short fiscal year on our estimated taxable income. A more typical annual tax rate is 24.0%. Diluted net earnings from continuing operations per common share for the eight month transition period were $1.11 compared to $1.47 in the prior year’s eight month period. Earnings per common share for the eight month transition period included an additional $0.08 per share benefit to our previously reported first quarter resulting from the change in the enacted UK tax rate. Accounts receivable declined to $105.6 million at February 2, 2008 compared to $106.6 million at February 2, 2007. Total inventories decreased to $158.9 million at February 2, 2008 compared to $166.2 million at February 2, 2007. We continue to manage inventory levels carefully and do not believe we have a significant risk from excess inventory. Cash flows from operating activities in the eight month transition period was $44.1 million compared to $37 million in the prior year’s eight month period. Thanks for your attention and now I’ll turn the call over to Hicks Lanier for some closing comments.
J. Hicks Lanier : Based on market conditions as we see them today the first quarter and fiscal year 2008 we expect net sales to be in line with previously issued guidance of $265 to $270 million and $1.01 billion to $1.06 billion respectively. We expect earnings per share to be at the lower end of the previously issued guidance ranges of $0.55 to $0.60 for the quarter and $2.35 to $2.50 for the year. We are going to be attentive to adjusting our management practices to compensate for the environment but we are also pressing forward with our plans, the environment hasn’t altered or threatened the position of our brands or changed our opportunities for future growth and development of those brands. As the year progresses if conditions improve we will adjust for a more optimistic second half. In the meantime the climate on Wall Street by industry and our stock specifically has created a rare opportunity for us. As you know we entered into a $60 million accelerated share repurchase agreement in November of last year. Over the course of the eight month transition period we were able to take in approximately 1.9 million shares and if our stock price remains at current levels we expect to receive in excess of 600,000 additional shares upon the completion of the term of the agreement. We think this is a highly appropriate way to deliver value to our shareholders. We also announced this afternoon that our Board of Directors has approved a cash dividend of $0.18 per share of common stock payable May 30th, 2008 to shareholders of record at the close of business on May 15th, 2008. This is a yield rate of approximately 3%. We are proud of our dividend history and this payment will represent the 192nd consecutive quarterly cash dividend since Oxford became publicly owned in 1960. We are convinced that we are on the right path with our strategic initiative and plan to stay the course. I’d like to thank you for your continuing support and interest in Oxford and leave you with the message that we are working very hard to ensure that we maximize our and your opportunities as we go forward. Thank you and, Margaret, we are now ready for questions.
Operator: (Operator Instructions) We’ll take our first question from Eric Tracy – BB&T Capital Markets.
Eric Tracy – BB&T Capital Markets: If I could first just maybe on the guidance in terms of still looking at the top line being very much intact but coming in a little bit at the lower end implies some pressure to margins. Hicks or Tom, maybe if you could just sort of walk through where you’re seeing that across the businesses.
J. Hicks Lanier : We gave that guidance about two months ago and I don’t think we can point to many situations that have improved since then and quite a few that have deteriorated and since the top line is intact it’s obviously a margin issue, not a SG&A issue and I think that comes two fold. One, the mix may have changed a little bit toward lower margin products but not significantly. I think the main issue would be in order to keep our inventories where we want them, we have had to take some lower margins just to make sure we were on top of things from an inventory standpoint and there is margin pressure across the board.
Eric Tracy – BB&T Capital Markets: So nothing one standing out more than the others?
J. Hicks Lanier : Not really.
Eric Tracy – BB&T Capital Markets: And then just turning in terms of margins for 08, I think at least at the midpoint of the guided range implies, at least over the eight month transition period, that gross margins get a little bit better and SG&A is at least somewhat flat. Is that an appropriate way to look at it or are there some other sort of puts and takes that obviously assuming that there isn’t further deterioration from here?
J. Hicks Lanier : In terms of gross margin for the eight month year, as we called out the gross margin was actually up for the year by close to a point. What hurt us in the year was that we, the point Doug made, is we de-leveraged a good deal as we opened additional retail stores and did not get the productivity, not only out of the new stores but out of the previously opened stores. That caused our SG&A to go up materially. Virtually all of our SG&A increase was the result of new stores opened in Ben Sherman and Tommy Bahama. And when you don’t get the incremental sales that additional expense can drag you. We think it’s a situation entirely tied to the economic environment [inaudible] and everybody else and we think there’ll be a point when that’ll turn and€ we’ll get the same kind of flip on the other side of the coin. It will be an uptick instead of a down tick.
Eric Tracy – BB&T Capital Markets: And Hicks or Doug just on that in terms of the Tommy Bahama, any change to those trends in those kind of four key geographic regions that you either wholesale or retail that you all are seeing since the last time?
Doug Wood : I think the only change if anything right now in the last several weeks, parts of Florida have actually been rebounding for us quite nicely. But when you talk about Nevada, Arizona and Southern California that continues to be right where we reported last and we’re talking about the last eight months. It’s pretty grim there but actually we’ve been very pleased with what’s been going on in Florida recently.
Eric Tracy – BB&T Capital Markets: And then maybe just lastly, Terry, if I could first welcome and secondly maybe put you on the spot since you’ve been there all of two weeks, but maybe just to give a little bit of color as to your decision in joining the organization and the opportunities that you see for Tommy Bahama relative to some of the previous brands that you had worked with.
Terry R. Pillow : Clearly when I heard of the opportunity here it was something that I was very interested in. I’ve had a lot of respect for this brand since it’s been created being in the industry and watching it. So clearly I was very interested and I can say that in the 10 days that I’ve been here my excitement has gotten even more. I was in the stores over the last couple of days in Florida what Doug mentioned and saw the uptick that he’s referring to and saw just the power of the brand in those markets with the new stores that we run with compounds with the restaurants that I’ve been amazed at the excitement and the energy that’s being generated there. So I couldn’t be happier about being here and as I said we have tremendous opportunities to a lot of pieces of the business but I’ll save that for another call, Eric, and look forward to sharing those with you at a later date.
Operator: And our next question comes from Jeff Blaeser – Morgan Joseph.
Jeff Blaeser – Morgan Joseph & Co., Inc.: One quick question on the Ben Sherman, Lanier profit losses in the stub period, is that primarily a timing issue as it seems to be the two stub periods and annually they’re in the positive?
J. Hicks Lanier : Yeah, keep in mind that the last stub two month period was December and January which are not very friendly months for the wholesale side of any business and so that is certainly a portion of it. It doesn’t take much of a tweak in a two month period to have you lose some traction as we did in this two month period.
Jeff Blaeser – Morgan Joseph & Co., Inc.: Understandable obviously. The stub is somewhat [inaudible].
J. Hicks Lanier : We’ve picked a bad stub in retrospect.
Jeff Blaeser – Morgan Joseph & Co., Inc.: I know you had mentioned in the last call and in past conversations that it was going to be primarily a retail driven period. On the Ben Sherman margins going forward, do you think top line growth will be the primary driver for expanding those margins or are there other opportunities available there also?
J. Hicks Lanier : There certainly are other opportunities and we saw some in this transition period in the increased amount of royalty that we achieved during that eight month period of time. A significant portion of it came from our international expansion and this was particularly the new store openings internationally which we had last year but which we plan at an even greater rate this year. But I don’t think we’re going to see much of a bump in the coming year on top line for Ben Sherman and because we’re still in the process of that rationalizing the UK business as we elevate the total thing. But we really think we’re going to get the pop in Ben Sherman in our fiscal year that’ll start a year from now. And top line.
Jeff Blaeser – Morgan Joseph & Co., Inc.: And then just on, I know it’s a small base, but are you seeing any difference between the new store openings and mature stores in terms of traffic or sales or is it relatively weak across the board?
J. Hicks Lanier : I would say, and Doug you can add to this, but we are still converting at our historical rates. When we get a customer in the store, they’re still buying what we are accustomed, it’s just that there are fewer of them and this is pretty much across the board. The one exception might be on Ben Sherman and there we have not seen the, and of course we don’t have as many stores and we don’t have the geographic sore spots like Florida and Arizona, Nevada and California there, but our SoHo store in New York, our store in San Francisco, the store in Las Vegas, those things are all hopping for us right now. I think it’s sort of is an issue. We’re talking about totally different target customers in Ben Sherman than we’ve got in Tommy Bahama and I think by and large we’re talking about a very fashion forward young mainly single customer in Ben Sherman and we consider our company one that’s trying to sell discretionary income products. We’re not a consumer staple. We’re a deferrable purchase in most cases, but these young people have a higher appetite for fashion apparel than necessarily the older Tommy Bahama customer does. And Doug if you want to add to that?
Doug Wood : No, I think you hit it. We’re seeing the worst of it in the areas of the country we talking about. But overall traffic is down and we see a lot of economic pressure on the marketplace.
Operator: (Operator Instructions) And we’ll go to Sean Naughton of Piper Jaffray.
Sean Naughton - Piper Jaffray: Quick question for you, you touched briefly in your comments just a minute ago about the international business. I was wondering if you could provide some additional color. There’s obviously some concerns about London and inflation and the UK businesses potentially slowing. Have you guys noticed any different trends that you’ve seen within Ben Sherman? And then following along with that essentially any of the [inaudible] businesses that you’ve seen that you have in Asia.
J. Hicks Lanier : Let me start with the last part, Asia. We’re fairly new to that area of the world so everything we’re experiencing is on the plus side and I’ll have to say that our results to date have been very pleasant and rewarding to us. Maybe we set the bar too low, but we’re pleased with the way it’s kicking off. But here again when you talk about places like Hong Kong and Shanghai where we’ve opened stores recently and this would apply to India where we have not opened stores but are in dialog with several people about partnering with, you’ve got a significant population of well educated, well employed young people that are single and most still living with their parents so they have that disposable income that they can use for discretionary products and fashion apparel is pretty high on their agenda. From that standpoint we’ve been pleased. In the UK I would say that our owned retail stores we continue to be fairly pleased with. They’re comping generally well with previous years and our regular priced stores with the exception of the one on Carnaby Street are all relatively new in the last two or three years and we have consistent progresses from year one to year two to year three in those stores.
Sean Naughton - Piper Jaffray: And then on the Tommy Bahama business, with some of the challenges in the states that you mentioned earlier, are there changes that you guys are thinking about making with respect to new store openings and maybe you could give us an idea of what the cadence may be for this year?
J. Hicks Lanier : Ben, do you want to take that one?
Doug Wood : Yeah, sure. With regard to looking at new store openings we are actually keeping pace with just that same – and I think we’ve got probably for this fiscal year I think we’ve got probably eight new stores on the books which in these areas I think we’ve probably got three or four that are going to fall in these areas. But you’ve got to remember got – I’m already in the construction mode already for this year, it’s certainly something as we look forward into next year and the year after we are definitely looking at leases a lot different in these areas specifically and it goes I think to Hicks’ closing comments where we’re just looking at the whole business sector, climate a lot more conservatively. At the same time this is actually because the retail sector is experiencing a lot of trouble right now. We’re having retail locations open up in A+ mall locations that we’ve been trying to get into for years. So there’s actually some good to this economy especially with our retail being still very strong that is actually going to give us some opportunities.
J. Hicks Lanier : Just to add to that, not only are not pulling back dramatically on retail roll outs as we’ve said before we are actually increasing our marketing spend for the Tommy Bahama brand pretty dramatically which was touched on in Doug’s comments earlier. Just as the retail site locations that are coming available as a result of the macro economic scenario, I think it’s also a good time for us to make a pretty meaningful step forward on the marketing front with our brands.
Sean Naughton - Piper Jaffray: And then lastly on the kind of mix of Tommy Bahama, has there been any – with the sub-brands that are kind of in there – has there been any change within those sub-brands? Are some performing better than others and then also how is the performance of the women’s business been so far this year?
J. Hicks Lanier : I was hoping somebody was going to ask that question.
Sean Naughton - Piper Jaffray: I tee’d it up for you.
J. Hicks Lanier : You tee’d it for us and nicely. Thank you. Doug, I’m going to let you answer it. I’m going to give you a gift here.
Doug Wood : I’ll tell you right now, we’ve probably had some of the most successful women’s selling that we have had in the last four years in just the last probably six to eight weeks. First of all and I’d go over where we’ve really been strong for several quarters, but boy this spring has been fantastic and as women’s Swim has been on fire in our owned retail and wholesale as well as our e-commerce channel. So women’s Swim has been just doing phenomenal. We’ve actually had our new delivery of women’s hit the store just last week and we’re seeing double digit growth in our women’s sales just with the new collection that hit. So our spring collection overall which we’re right in the middle of has been really successful. With regard to the Tommy men’s brand, and we don’t really look at it as sub-brands as much as just another area that we’ve been really building out the collection, but our Tommy Relaxed business has been phenomenal this spring. Overall we do have a lot of things to kind of cheer about and probably the loudest is on women’s and thanks for bringing it up.
Operator: (Operator Instructions) We’ll got to Robin Murchison – SunTrust.
Robin Murchison – SunTrust Robinson Humphrey: Just me take that women’s a little bit further, that is you’re pleased with it even outside of the Swim business, correct?
J. Hicks Lanier : Absolutely. Doug was talking about the Sportswear segment that has had recent performance that just exceeded our wildest expectations.
Robin Murchison – SunTrust Robinson Humphrey: And is there anything, will you just remind us is there anything going on in the background in terms of new design – didn’t the –
J. Hicks Lanier : We moved the Design headquarters from Seattle to Pasadena outside of Los Angeles and that’s where our Swimwear has always been and we’ve put the ladies’ Sportswear there also and it’s obviously having a very positive result.
Robin Murchison – SunTrust Robinson Humphrey: Are you happier with the design talent there?
J. Hicks Lanier : Yes, absolutely.
Robin Murchison – SunTrust Robinson Humphrey: Presumably Ben Sherman is comping – I don’t want to put words in your all’s mouth – but Ben Sherman comping positively and Tommy Bahama collectively comping negatively. Is that – Hick That’s a fair statement.
Robin Murchison – SunTrust Robinson Humphrey: On the Ben side is –
J. Hicks Lanier : Unfortunately we’ve got a lot fewer Ben stores.
Robin Murchison – SunTrust Robinson Humphrey: That’s okay. Directionally, you’re –
J. Hicks Lanier : A lot.
Robin Murchison – SunTrust Robinson Humphrey: So is it conversion in traffic or is it conversion at Ben?
J. Hicks Lanier : I don’t think the traffic has dropped off as much in that target audience as it has in the Tommy Bahama hot spots. In particular these four state areas where we’re looking. These are all high turnover, upscale tourist area and it’s well chronicled that the tourist has dropped off. The people that live there have found out they’re not as rich as they thought they were. Sort of a double dose.
Robin Murchison – SunTrust Robinson Humphrey: If you step outside and ignore the Nevada, Arizona, California and other markets, well I guess the [Nadic] store is not in a comp base yet, is it? But I’m just wondering if some of these other non –
J. Hicks Lanier : Doug, we have areas where we are comping positively. It’s not an across the board situation. It’s these four states that are dragging us down because that’s where two thirds of the stores are. Is that a fair statement, Doug?
Doug Wood : Yeah, right now I’ll just say Hawaii is actually, depending on where you’re at, is actually doing quite well and as I mentioned earlier, we’re actually seeing a nice spring out of Western Florida and actually we have regions that are doing well. It’s just that given the significant number of our stores are in that Arizona, Nevada, Southern California region and also parts of Florida they’ve been struggling and it has a lot to do with just even look at the traffic numbers. Then you look at occupancy in the hotels and it’s the entire travel sector. But, we do have areas that are doing well.
Robin Murchison – SunTrust Robinson Humphrey: So western Florida, I was going to ask you about that because I don’t think you honed in on that before. So the Naples area is okay but I’m going to guess Miami and the southeastern part of Florida is that the toughest part?
Doug Wood : I mean without – for sure, I mean I couldn’t talk enough about how great the Naples, western part of the state is doing. But, for sure the other parts are still struggling.
Robin Murchison – SunTrust Robinson Humphrey: Okay. Hicks, would you just characterize your wholesale business? I mean, just kind of moving away from Tommy and Ben point blank, maybe just collectively all of the businesses, is there a sense that things are the same? Getting better? Or worse?
J. Hicks Lanier : Let me refer you to the recent releases from JC Penny last week and Macy’s shortly before that and Nordstroms shortly before. You just take those three and that sort of three different areas of the tiers of distribution and not a lot of good news there.
Robin Murchison – SunTrust Robinson Humphrey: Okay. So are you all doing anything differently in terms of hunkering down? I mean your inventory was in pretty good shape but was there anything else you would want to remind us about or point to?
J. Hicks Lanier : I would say inventory management and risk management generally would be at the top of our list right now. But, here again let me remind you one more time that we are so committed to building these brands and we’re not going to be overly influenced by what’s happening out there now because this is our future so we’re going to continue to invest in them and continue to do the right things for the long term.
Robin Murchison – SunTrust Robinson Humphrey: Okay. Then two more if I could and maybe for Tom if I could. Tom, can you comment any on product cost? And, I wondered if you’d be willing to tell us what you’re estimating D&A to be this year?
Thomas C. Chubb, III : I think we had a call out on the amortization in the press release itself and I’ll get [inaudible]. Depreciation – well, I’ll ask Scott to put his hands on that while we talk about product cost for a minute. I assume that you’re referring to the news articles that are out there about China?
Robin Murchison – SunTrust Robinson Humphrey: Yes sir.
Thomas C. Chubb, III : And China is a major source for us. There is some pressure on prices coming out of China and Doug may be able to comment on this a bit more. But, our largest concentration of China production is actually in the brands in Tommy Bahama and Ben Sherman and that’s I think a positive thing because those are the two areas of the total corporation where we have the highest margins and the greatest pricing power. In our legacy businesses which are a little bit more constrained in their pricing power we’re much more diversified in our sourcing and so aren’t feeling the pressure from China as much there. So overall, what I’d tell you is it’s certainly something that we’re continuing to keep an eye on but I don’t think that’s a major cause of our results that we handed in or anything like that.
Robin Murchison – SunTrust Robinson Humphrey: Okay. Did Scott have anything?
K. Scott Grassmyer : Yeah. On D&A, it will be around $23 million for the upcoming year with about $3.3 of that being the amortization of intangibles and the rest of that being depreciation.
Operator: With no further questions in the queue Mr. Lanier I’ll turn it back over to you and your team for any final remarks.
J. Hicks Lanier : We thank you for joining us today and hope that next time we visit that external environment will be a little more receptive to us. Thank you.
Operator: Ladies and gentlemen that concludes today’s conference. You may now disconnect.